Brendan Horgan: Good. Good morning, everyone. slightly smaller crowd than what we had recently. But anyway welcome to our Q4 and Full Year Results. We will start by saying that we were really pleased that many of our investors, our analysts of course, customers and suppliers have the opportunity to interact in person with thousands of our team members during our Powerhouse and CMD event that we recently held in Atlanta. You were able to experience firsthand the culture throughout our organization, and the commitment not only to the ongoing success and the opportunities ahead that our business has to offer, but also the prioritization we place on the safety and wellbeing of our people, our customers, and members of the community that we serve. So it's in the spirit of safety first, that I'll begin as usual by recognizing our Sunbelt team members listening in today. We recorded the best safety year in our company's history, in both our leading metrics, and our lagging measures such as Total recordable incident rate, and vehicle incident rate. Both of these statistics and our results in them demonstrate a world class safety culture, which can only be the reality that they are with our team members, daily engagement. Our cultural mindset and determination is not one of reaching a destination, rather achieving milestones, as in the world of safety. complacency is the ultimate threat. So to our team, thank you, thank you, thank you, for your efforts throughout the year and for your ongoing commitment to engage for life. Moving into the slides, which I'll preface by saying will be reasonably brief this morning, considering the in depth update we just delivered during our CMD. And our views on our end markets, the opportunities that this business has, and our confidence in our strategic plan are unchanged from what they were, of course, in April. So let's begin with the highlights for the year on Slide 3. The business delivered another year of record revenue and operating profit driven by strength in our North American end markets, the ongoing momentum and execution in our business, and the very clear structural progression being realized in our industry. For the year, Group revenue and rental revenues increased 12% and 10%, respectively. While U.S revenue improved by 13% and rental revenue by 11%. Group EBITDA improved 11% to $4.9 billion, while adjusted PBT was broadly flat at $2 billion to $30 million reflect -- reflecting disproportionately higher depreciation and interest cost leading to EPS of $3.87. From a capital allocation standpoint and in accordance with our priorities, we invested $4.3 billion in CapEx, which fueled our existing location growth and Greenfield additions with new rental fleet and delivery vehicles. We expanded our North American footprint by 113 locations with 66 through Greenfield openings and a further 47 through bolt-on investing $900 million and 26 targeted acquisitions. Following these investments, our net debt to EBITDA leveraged was 1.7x well within our new long-term range of 1x to 2x. These activities demonstrate our confidence in the ongoing health of our end markets and the fundamental strength in our cash generating growth model. At the end of the year, we completed our Sunbelt 3.0 which I'll reflect on only briefly beginning on Slide 4. Beyond the fiscal expansion of our network of general tool and specialty locations and the advancement of our market share, presence and cluster levels 3,0 delivered a remarkable financial performance. This slide is from CMD, which will have updated to reflect the results for the full year rather than just the LTM January figures we would have shared at the time. Demonstrated where we were in fiscal year 2021, what our range was at the onset of 3,0 and what we ultimately performed or delivered on. Inside the table to the right there, you'll see we have the checks in terms of significantly meeting our ambitions and a couple of hashes or neutral measures. We grew our revenue by $4 billion and 3 years, an 18% CAGR. We grew our EBITA at a 17% CAGR and our operating profit margin improved by nearly 2 percentage points. Growing EPS again from $2.19 to $3.87. The plans for U.S drop through and Group EBITDA margin were impacted of course by the higher than planned level of store additions, where we added on average, as I would have shared in April, two and three quarter locations per week throughout 3.0 and by the significant inflation which was not foreseen during the plan of or the launch of 3.0. So as I said in April, if I had to pick one or the other over the course of the last 3 years, growing more than our originally planned ambitions or having had the 55% drop through, I would take the EPS that was achieved as a result of our growth over the course of 3.0. By any measure so about 3.0 was a tremendous success. Of course, none of you came here today or tuned in to hear about the past rather what's ahead. So thinking about that and contributing, of course to the performance, we did have over 3.0 Dotto as it will going forward is this clear structural progression in our industry, which is now ever present. And with that, we'll turn to Slide 5. During the Sunbelt 4.0 CMD, there was a lively and somewhat playful debate over who had the best slide among the presenters that were on the stage. And I will confess that my colleagues had some great slides, all of which we put in the appendix of today's presentation. But I still think this slide that really presents the big picture story about this business. The structural growth story that this has been. And the structural growth story this will continue to be is really the structural progression that is so evident today. First, rental continues to take share from ownership. This has been happening for decades, and there's every reason to believe that this will continue to happen. Second, which is relatively new in terms of how this is expressed, or how it's talked about. Our customers have built their businesses around relying on us in an essential manner. Rental is essential for our customers to begin, to run and to complete their projects across many, many sectors end markets. This is not something we take for granted, Rather, we see it as an honored obligation. It's our role in what we do. And finally, the larger, more capable rental companies have and will get disproportionately larger as we move forward. The outputs of these were as you see. Rental l is now core. It's no longer the top up it would have been once upon a time. There is indeed pricing discipline as a result of the progressed organization of this industry; whereas we believe the ongoing pricing progression is a notable fixture of our future growth. All now mean to a more secular business than what it has been in the past. It doesn't mean that there'll be no cyclicality, it simply means that it will be far less cyclical than the business would have been before this structural progression that is so clear today. Moving on to Sunbelt 4.0. the plan itself on Slide 6. Here we have our Sunbelt for Dotto, as we call it plan on the page. Don't worry, I'm not going to go through all the details of each of these actionable components. Rather just put emphasis on what our plan is and focus on these five actionable components. Our customer, growth, performance, sustainability and investment. And as we did throughout three Dotto, we will provide you periodically with updates on each of these in terms of how we're progressing against the roadmap that we set out when we were together in Atlanta. In terms of revenues, margins and CapEx within the Ford auto design. Let's turn to Slide 7. We designed 4.0 to leverage these structural tailwinds that we've just gone through and execute on each of our actual bull components to deliver our next phase of growth. Setting our sights on achieving these 5-year, which we reiterate our confidence in today. Execution and achievement of this order will amount to an ever powerful strategic position and financial position, delivering earnings growth, strong free cash flow and low leverage given a significant operational and capital allocation optionality for the benefit of all of our stakeholders. As we were explicit, insane at our CMD, this slide is not guidance, rather a direction of travel within a 5-year strategic growth plan. One, we are confident is a win not if scenario, however, in a few minutes, Michael will give our guidance for the current year not to be confused with our Sunbelt 4.0 targets. So on that note, I'll hand it over to Michael.
Michael Pratt: Thanks, Brendan, and good morning. The Group's results for the year and April 2024 are shown on Slide 9. In North America, the fourth quarter saw growth in our specialty businesses, return to levels similar to those that we saw in the first half of the year. While the film and TV business improved throughout the quarter, as following the resolution of the accident writers' strike in December last year. As a result, the group increased fourth quarter rental revenue 9% at constant currency and full year rental revenue at 10%. This growth was delivered with strong margins and EBITDA margin of 45%, and operating profit margin of 26%, delivering an operating profit 5% higher at $2.77 billion. After an interest expense of $545 million, 49% higher than this time last year, which reflects both higher absolute debt levels but also the high interest rate environment. Adjusted pretax profit was slightly lower at $2.23 billion. Adjusted earnings per share were $387. Turning now to the businesses. Slide 10 shows a performance in the U.S. Rental revenue for the year grew at 11%, which was on top of growth of 24% last year. Rental revenue has been driven by a combination of volume growth and rate improvement in end markets which continue to be strong. Despite the impacts of inflation, and the highest rate higher interest rate environment. The rate piece continues to be an important part of the equation, given the cost that we face. Whether it be interest costs as you saw on the previous slide, or the impact of inflation among both our rental fleet and our operating cost base. The total revenue increase of 13% reflects higher levels of used equipment sales this year. As we've discussed in previous quarters, improvements in the supply chain during the year have enabled us to reduce physical utilization from the record levels that we've seen over the last couple of years. Although the absorption of this additional fleet has been slightly lower than we anticipated. We've used this opportunity to take advantage of strong second hand markets to catch up on delayed disposals and accelerate the disposal of some older fleet where utilization was suboptimal. As we've discussed before, this lower level of utilization is a principal explanation for the depreciation charge increasing at a faster rate than rental revenue. This factor combined with the increased level of used equipment sales is a drag on margins in the near-term. Fourth quarter drop through 40% resulting drop through for the year of 49%. This was after we recognize an additional receivables provision, falling one of our customers filing for Chapter 11 bankruptcy protection in May due to a contract dispute. While we expect to collect the amounts due to us, we've adopted a cautious approach in preparing the financial statements and made an additional provision. Excluding this late event, fourth quarter drop through was 57% and full year drop through was 52%. This results in EBITDA margin of 47% while operating profit was $2.63 billion at a 28% margin. An ROI was still healthy at 23%. Excluding the impact of the lower margin used equipment sales, and this additional provision, EBITDA margins were slightly better than last year. Turning now to Canada on Slide 11. Rental revenue was 10% higher than a year ago at $765 million. The major part of our Canadian businesses performing well as it takes advantage of its increasing scale and breadth of product offering as we expand our specialty businesses and look to build out our clusters in that market. The fourth quarter saw increasing activity levels in our film and TV business following the settlement of the strikes in North America in December, with revenues now approaching pre-strike levels. The disconnect between the rental revenue increase and the increased depreciation charge is exaggerated by the film and TV impact. But as in the U.S., physical utilization is lower than we anticipated. Despite these challenges, Canada delivered an EBITDA margin of 40% and generate an operating profit of $138 million at a 15% margin, while ROI is 11%. Excluding the drag from the film and TV business EBITDA margins were slightly better than last year. Turning now Slide 12, U.K rental revenue was 6% higher than a year ago at £590 million pounds, while total revenue increased 3% to £706 million. While we continue to make progress on rental rates, there is more to be done to keep pace with the increase in our cost base. And this is a headwind to improving margins. The disconnect between the rate of revenue growth and depreciation reflects low utilization of a slightly larger fleet and also higher non-rental depreciation as we replaced aged vehicles. The U.K business delivered an EBITDA margin of 28% and generate an operating profit of 58 million pounds at an 8% margin and ROI was 7%. Slide 13 sets out the group cash flows for the year. This emphasizes the strong cash generation capability of the business. And this cash has been deployed in accordance with our capital allocation policy, with capital expenditure of $4.4 billion funding principally fleet replacement and growth, and $876 million invested in bolt-ons. The significant increase in capital expenditure resulting in lower free cash inflow this year of $216 million. Slide 14 updates our net debt position and leverage at the end of April. As expected, overall debt levels increased as we allocated capital in accordance with our capital allocation policy. In addition to the capital expenditure and bolt-ons, we returned $436 million to shareholders through dividends and $108 million through buybacks. As a result, leverage was CSR1.7x excluding the impact of alpha 16. Our expectation continues to be will operate within a new target leverage range of 1x to 2x net debt to EBITDA and generally more towards the middle of that range as we continue to deploy capital in accordance with that policy. As we move into Sunbelt 4.0, we remain committed to a disciplined approach to capital as we drive profitable growth, strong cash generation and enhance shareholder value. An integral part of this is a strong balance sheet, which gives us a competitive advantage and positions us well to optimize the structural growth opportunities that we see in the market. We accessed the debt markets last July, and again in January. In order to strengthen that balance sheet position further and ensure we have the appropriate financial flexibility to take advantage of these opportunities. Following the notes issues [ph], our debt facilities are committed for an average of 6 years at a weighted average cost of 5%. Turning now to Slide 15, and our initial guidance for revenue, capital expenditure and free cash flow for '24, '25. In the U.S., consistent with the overall direction of travel, we discussed Atlanta. We are expecting rental revenue growth of 4 % to 7% or in the range of 4% to 7%. This takes account of current activity levels, our view of nonresidential construction markets, and a low in the large project that I referred to earlier. In Canada, we are seeming a rental revenue growth of 15% to 19% as the film and TV business if it turns to pre-strike revenue levels. While in the U.K, we're looking for rental revenue growth of 3% to 6%. From a capital expenditure standpoint, our initial guidance is for 3$ to $3.3 billion of capital expenditure of which 2.3 to 2.6 is on new rental fleet. This level of capital expenditure and anticipate a business performance leads to expected free cash flow of around $1.2 billion. And with that, I'll hand back to Brendan.
Brendan Horgan: Thanks, Michael. We'll go on to U.S trading on Slide 17. As you'll see the U.S business delivered good rental revenue growth in the quarter of 9%. This growth is on top of very strong growth last year in the fourth quarter of 18%. Specialty worth noting was up 15% in the quarter back to the levels that we would have experienced in the first half. Overall for the year rents revenue growth was a strong 12% consistent with what we've said previously, and others in the industry have been noting, time utilization throughout the year was below the record levels that we experienced in the previous 2 years. This continues to reflect the ongoing improvements and today the normalization in the supply chain. Importantly, rental rates have continued to grow year-on-year, doing so despite the utilization movements that I've just covered. This is affirmation of the ongoing positive rate dynamics in the industry. Further, there is capacity for us to do better in terms of absorbing more of the fleet investment we made last year in the business as we progress through this year. Moving on to Slide 18, we'll cover the outlook for our largest single end market, which is construction. Consistent with our usual reporting of construction activity and forecasts, this slide lays out the Dodge figures and starts momentum and put in place, if I draw your attention to the top right there, the put in place chart, and in particular, the top three rows where you'll see non-res, non-building, and then the two subtotal there to capture both of them, partially fueling our growth over 3.0 was the significant recovery. And indeed, record growth and absolute levels in non-res and non-building. If we look at this just from 2021 to 2023, in just 2 years, those top two lines that I've mentioned, grew from $817 billion to $1.1 trillion, that's 35% or about $300 billion. That's a big, a really big, step change, in pace and in total, when we look at these forecasts, with a 2023 starting point, it goes from a $1.1 trillion actual to a forecast of $1.4 trillion in 2028. So again, that's about $300 billion in growth. However, that's over the course of 5 years, rather than that two year period that we've just described. So growth is indeed forecasted. And it's favoring a bit more toward the nonbuilding pieces, infrastructure, public works, utilities, et cetera, get a boost. And of course, we continue to see mega projects taking more of the non-res and non-building pot. Overall, the construction environment looks to be positive for the foreseeable future. And as we progress throughout this next year, I think we'll get an even better feel for the growth that will extract from the changes to the construction makeup, whereas mega projects and nonbuilding are taking on a larger portion. Let's touch on mega projects activity in a bit more detail on Slide 19. Again, we have a slide here from what we would have shared in April, the last 3 years were very active 565 billion and starts which was 442 projects that started from May of 2021 and were started by April 24. Further, there's a strong lineup of forecasts and mega projects over the next three years, you'll see they're about 500 projects and 760 billion overall. All of these happen that are forecasted? No. Will all these happen on time? No. Will most of these take longer than plan? Yes. Well, most of these costs more than what's in the plans? Yes, they will. Will some projects start over the next 3 years that are even in the bucket of 501 projects that's on the list today? Yes, they will. However, despite all that noise from one quarter to the next or as we put up these tables periodically, The key themes to understand here are one, this era of mega projects will carry on for some time. And it's all being influenced by the drivers that we've talked about so many times the globalization, technology, legislative acts, et cetera. And two, how essential rental and the related services are for the success of our customers on these projects, and for the delivery of these projects overall. Turning now to our non-construction markets on Slide 20. This was our latest attempt at the difficult task of trying to scope the huge non-construction opportunity all on one slide. This was better showcase by our Anytown exhibited exhibit in Atlanta, where we demonstrated just how capable our products and services are. At germinating, new market segments are those that are less rental penetrated than the better known areas. So many of our product categories have remarkably universal applications, which presents a vast opportunity to progress rental ever more broadly. This can range from temporary HVAC solutions and hotel to cleaning to inspecting or repairing buildings by utilizing their area or platform or the scaffold services that we have. To supply the essential solutions required to put on big live events like the F1 races in Las Vegas and Miami or the Kentucky Derby. All the way down to the little 10k runs or food festivals which happen in our all of our geographic markets virtually every day of the year. The key to this is that these MRO and live events, examples that I've just given in the other non-construction markets illustrated here on the slide, produce activities or projects that often happen the same week, the same month, year in and year out time and time again, and increasingly so we're there to service them, and the power of Sunbelt, once our team gets an opportunity to service one of these, very rarely do we lose the opportunity the following year, events and projects like these very much become annuity opportunities. So these are big end markets with very big opportunities for growth as we move forward. Moving on to Canada on Slide 21. Our business in Canada continues to deliver good growth, coming from existing general tool and specialty locations as well as the Greenfields and bolt on activity that we've demonstrated. In the year, we added 17 locations further contributing to advancing our clusters in line with what the 3.0 plan was. This progress enables us to increase our addressable markets beyond construction as we have done so well over the years in the U.S. Our runway for growth, improved density, market diversification and margin improvement remains significant in Canada. And as is the case in the U.S rental rates continue to grow year-on-year, which we expect to continue to be the case as we move forward. We've now experienced a good pickup and activity in the film and TV business as Michael was talking about following the end of the strikes in December, with activity levels now close to what they were pre-strikes. Turning to the U.K on Slide $22. The business delivered strong rental only revenue growth of 9% driven by market share gains in a end market composite composition, which favors our unique positioning through the industry's broadest offering of general tool and specialty products and services, which are frankly unmatched in the U.K. We simultaneously launched Sunbelt 4.0 in the U.K business while we were together in Atlanta, and the team has since carried on townhall meetings throughout the business to add emphasis to each of the actual components. What we have is a plan that will lead to an ever more diverse customer base and increased TAMs. By bringing greater focus and discipline, necessary levers and actions to deliver sustainable levels of returns and ongoing free cash flow within the U.K business. This business has transformed in recent years. And Sunbelt 4.0 aims to add the final piece of this transformation. And I would say that the team is off to the right start. Let's move on to our initial capex outlook for next fiscal year on Slide 23. CapEx for the full year, just gone by was $4.3 billion in line with the guidance range that we gave in March. Our guidance for fiscal year '25 is unchanged from the initial guidance. We anticipate rental fleet CapEx in the U.S to be between $2 billion and $2.3 billion and after our non-rental CapEx cross the group and ongoing rental fleet investment in Canada and the U.K we guide to $ billion to $3.3 billion for the group for the full year. This investment will fuel our ongoing ambitious growth plans and [indiscernible] 4.0 and demonstrates our confidence in the current and forecasted demand environment, competitive positioning and the strong relationships we have with our key suppliers. And our business model in general. However, these plans can be flexed as we progress through the year to reflect our latest views on future market conditions. And that's again a that's a nice return to have to the more ordinary times as I mentioned earlier from a supply constrained standpoint. This leads on to capital allocation on slide 24. Mike or I have covered every capital allocation element for the current year and the framework for the new year throughout this morning's presentation. All incredibly consistent with our long held policy and we will continue to allocate capital on this basis throughout 4.0. So to summarize, we'll turn to Slide 25. This has been another good year performance and the full year delivery of Sunbelt 3.0 and positioning for the future as we embark on our execution of Sunbelt 4.0.throughtout which we will extract the benefits of the ongoing structural progression, which we’ve shared again today, delivering strong performance through volume, pricing, margin, and return on investment, resulting in an even stronger financial position through earnings growth, strength in free cash flow, and operational and capital allocation optionality greater than any point in our company's history. So for these reasons, we look to the future with confidence. And with that, we'll be happy to take some questions. James?
Q - James Rosenthal: Hi, there. Its James Rose from Barclays. I’ve got two, please. The first one, I think just to get out of the way as well. There's been media comments around your potential U.S listing. I guess, is there anything to update us from the status quo.
Brendan Horgan: It was the status quo from April from time to time, as we've said, we and the board, take the matter of listing residency on and if we change in terms of our intention, along with our investors will be the first to know.
James Rosenthal: Okay. Thanks very much. And then secondly, on the sort of specific large projects, you've highlighted and flagged there. Do you -- do you see any risk of contagion to other bigger projects out there in terms of delays or conflicts?
Brendan Horgan: That's a good question. And what I'm glad is raised. As Michael would have said, this is a contract dispute between contractor AKA our customer, and the owner of the project, and I hope you can all appreciate I'm sure they'll be some other questions around this. We're not going to name either of the two of those, certainly in this venue. But that's what it amounts to. We see no risk in terms of these other sorts of things happening in these mega projects. One, delineating factor when it comes to these mega projects across the U.S They are being built and developed by the world's richest companies, or the government itself, and in some cases, so we see no risk and contagion.
James Rosenthal: Right. Thank you.
Brendan Horgan: Annelies?
Annelies Vermeulen: Hi. thank you. Annelies Vermeulen from Morgan Stanley. Just as a follow-up on that. I'm thinking about your rental revenue guide for next year. I think you said this large project is [indiscernible]. So is that in with asset within specialty? So how should we think about general tool versus specialty going into next year? Do you still expect specialty to be able to grow double-digit? Or do you think the gap between general tool and specialty may be smaller?
Brendan Horgan: Yes. Well, there's two ways look at it. Well, first of all, you're right, it is a large portion of the revenue we experienced over the last several years on this project was the labor component of Scaffold end, not all of the revenue. So let's just say it was about two thirds, labor, and one-third the balance of the rental products that we offer, and that would be specialty and general tool alike. To put in perspective, you're talking about 2.3 million labor hours, we would have deployed in erecting and moving the Scaffold over the course of 3 years. So it is quite a sizable piece there. Yes, this is part of what our guide is, of course, for the year. Our guide would have been slightly higher than what it was. It's -- about 1% or so in terms of overall revenue attributable to the project. But on a go forward basis, I think there's a couple things to reiterate. First of all, we'll take I'm sure a question will get how was trading in May. So in May in the U.S., we saw pure rental revenue growth on a buildings per day basis of 6.5%. But on a total rental basis, which is what we guide, it was 5.5%. The difference there is that labor component that wasn't present on the project in full during the month of May, that we would have experienced previously. So there will be a bit of specialty. But I think the key for us, we'll be looking at specialty in pure rental terms. The rest of this is just caught up in terms of where we are on the project. The other thing about the project is, this is a let's just call it circa $10 billion project, and $6 or $7 billion of that project has been built. So the balance of the project, as sure as we're all in this room today will finish. And we believe we're well-positioned to be material participators in that project until it's done. This is just a contract dispute that's in the courts and hence the reason for the sensitivity, if you will, in too much detail.
Annelies Vermeulen: Just one more on that, then if I may. You’ve obviously said you expect to get that back. Is that factored into your guidance and do you have any sense on timing can these things drag on for years or are you relatively confident will be within this year?
Brendan Horgan: They can drag on for a long time. There is an eagerness to continue the project from an ownership standpoint. So one would hope that [indiscernible] a bit faster sort of settlement, if you will. The provision that Michael referenced has to do with arrears. So we do think that's conservative because we fully expect to collect it all, not least of which once we have done all the counting behind it all. Thanks to the team who would have done all that. We received a sizable payment on Friday and another yesterday. So we feel as though this will progress, it's just a matter of timing.
Annelies Vermeulen: Thank you.
Brendan Horgan: Will?
William Kirkness: Thanks as well. Kirkness from Bernstein. Two questions please. Firstly, just on rate. You didn't give us any color on the fourth quarter and expectation within that 47% point [ph]?
Brendan Horgan: I mean, rate continued to progress in the fourth quarter that will bring me to one of my favorites [indiscernible]. Can we advance to Slide 30? I've lost my clicker. 32, I believe. I've got it back. It is 32. This was John's favorite slide. Rate in the fourth quarter was as we expected. I think as we go forward, I mean, there's certainly a component of rate, which we won't tell you precisely in terms of what's in that four to seven. And we fully expect rate to continue to progress. What we shared with our business in Atlanta referencing this slide, the real mechanical nature of recapturing the inflation in the labor base, the equipment base and the macroeconomic inflation, it takes a bit of time to turn that into this sort of regimented, systematic process that you would have heard John and others talk about, but we feel as though this is the right guideposts. And this is what we're putting in all the plans that we have for our sellers, our managers, et cetera. So, look, we feel confident that as we've said many times, this is a business services company. The industry over the long haul, perhaps hasn't necessarily demonstrated that to evoke, the level of confidence that we believe structurally put us in this position. So we very much expect to sequentially and year-on-year gain rate throughout the year.
William Kirkness: Okay. Thanks. and linked into that in terms of the inputs, has anything changed on the cost inflation side, in recent months, or in terms of skilled blue collar and …
Michael Pratt: And as go bucket by bucket here, wages, it's more of the same. I mean, the arguably the most scarce and valued necessity I hate to call people commodity is skilled trade. And as we see the abundance of the project, if you read any of the Dodge information, whether it be on the momentum, or be the next 5-year outlook, if you don't subscribe to it, I'd highly recommend it. It's the best 110 pages you might read of all the material that you do take on. And they still talk about one of the real underpins been, how difficult it is to source the labor. If you look, as it for instance, to that as well, the week of May 13, the U.S government, in essence hosted their 12th -- I believe, 12th or 13th annual infrastructure week. And one of the challenges that they talked to in terms of really getting the money fully to work, which has been allocated to the states, et cetera, is the lack of availability in terms of labor. And that also is present very much in ships and science. Don't worry, that doesn't mean it doesn't happen. It just means that really the spread of that gets prolonged, which from our point of view, is actually very positive. So we're going to continue to see inflation in wages, and therefore, we're going to pipe that through the system more mechanically, when it comes to the equipment, what we're seeing is we're seeing the year-on-year inflation. significantly in beta, will be either sort of minus two to plus two over the course of the year. But remember, we still have 4 years, Michael, right? Material inflation, the assets that we will be disposing of, and replacing at these newer and higher cost levels. So there'll be a material adder for that as we go forward, the rest of inflation. Obviously, we're all watching that closely as it relates to interest rates and what might happen. Thank you.
William Kirkness: Thank you very much. On the demand from Bank of America, is one question into smaller parts. Just coming back more broadly on your guidance for U.S rental revenue 4 to 7. It's slightly below Q4. It's slightly below your medium term target. So are you, I guess I'm being conservative. Could you catch up to the 6 to 9 bolt on acquisitions? And how do we reconcile considering the recent rates included in there? Or do we reconcile the 4 to 7 relative to the slide you showed about construction and rental markets growing 9% to 10%.
Michael Pratt: Yes, well, first of all, this is organic. So what we've given guidance if we do some bolt ons throughout the year, and to the degree in which they'll have any material impact, and we would reflect that in our guidance. I think how you reconcile that, in terms of construction, I think was one of your big questions there, which if I'd go to bear with me, '17, I think or '18. One of the things I would have mentioned in the prepared remarks was how we get a feel for overall this construction landscape. As we've said, in absolute, non-res, non-building, it is strong, right? It's an environment whereas if you look at the labor component of it, et cetera, it's taken all that it's got, so to speak, to pull off the size of numbers. But if we look at the movement that I talked about from 2023 through 2028, in non-res, non-building, one of the things that we know is contributing to that but it's causing a composition change. Is the relative level of mega projects or infrastructure, relative to the ordinary sort of run of the mill commercial, which comes to flow through what can we expect in terms of overall levels of flow through for the change in composition of projects, all of which, in terms of direction of travel positions us remarkably well. But that's what we're working through. I think during this period, I think we're seeing that in the industry, as it relates to time utilization from a supply constrained standpoint, are more now normal times, but also really the makeup of that. So what we're going to do with guidance, is we're always going to tell you exactly what we think. So based on, as Michael said, our most current trading, and as we look at and we go through our modeling of what that should amount to in terms of rental revenue, that's the underpin, in many ways to our guidance, and of course, the rate piece, and everyone's going to want to know what exactly we have as it relates to rate and our numbers and we're not going to tell you,
William Kirkness: Fair enough. Thank you for that. And I guess the next the next line in the P&L. Could you talk about the EPDM margin outlook for the year? Obviously, you want to increase it by 2029? But does it start already in '25?
Brendan Horgan: Yes, we're expecting flow through of sort of low to maybe mid 50s for this year. So if you think of that in relation to where margins are at the moment in the U.S., then that should be incremental. The other piece is used equipment sales. We've talked about it here, we're talking [indiscernible], we've said, we're expecting gains, which is really volume that we're selling predominantly, to be about $100 million lower than they were a year ago. Inherently, yes, gains on gains, but they're lower margin. So that the absence or the reduction in used equipment sales will be complementary or aid margin progression. So you can take drop through and lower used equipment sales, you'd expect margins to progress.
William Kirkness: Thank you.
Brendan Horgan: Can you just pass it to Lush there.
Lush Mahendrarajah: Good morning. Good morning, guys. Thanks. It's Lush Mahendrarajah from JP Morgan. The first is just so coming back on to the -- the sort of larger project, where there's been an issue. So following on from an earlier question. And I know you can't tell us who's involved, but can you give us any color on what the dispute is exactly? Because I guess what I'm trying to get a handle on is as it gets going forward, there's going to be more and more of these types of bigger projects. Just trying to get an idea of how likely this sort of issue could be to arise again? And then the second question is just on film and TV. So helpful, saying it sort of back to sort of pre-strike levels. Can you just give us an idea of how much that actually fell across the year, last year, obviously, as moving parts through the quarters, just to get an idea of how strong that rebound could be.
Brendan Horgan: I might turn the second one to Michael. But the first one, that's a good question. And you have to look at these projects, which we know remarkably well, these larger projects that we participate in. The timing of this particular project, which leads to the -- to your understanding of the contractual dispute without me talking about it too much here. This project began pre-COVID. And the cost arrangements in that environment ended up being very different than the realities of what the COVID period brought, both in terms of the supply constraints and challenges from material. And when it came to the overall inflation as a result of that. Furthermore, the cost associated with moving 7,000 or 8,000 people a day as an example from where the skilled trade would park and where the skilled trade had to go to work. So the dispute has to do with from our understanding it's dollars and cents. It's dollars and cents on a mighty large project. So I think, again, looking at when this project began, unlike most of the existing mega project landscape today, and the circumstances around that are really at the root of what this is, we think that there is remarkably low risk as it relates to contagion that you and James have both asked about now. And I'll remind you again, look, we deal with Chapter 11 every day. It's interesting to me just that sometimes in the U.K., we -- if Chapter 11 bankruptcy is said, it's just assumed, well its bankruptcy receivership, and it's all over. That's not the case in the U.S. There's two types of Chapter 11 in the end. There's Chapter 11, where businesses are dealing with their own sort of solvency and challenges and then there's this sort of contractual dispute piece. And in that there's two more buckets. One where the well is near dry, and one where there's plenty of water in the well, this is not an issue of not enough water in the well, if you will, when it comes to the owners of the project. Okay, second one.
Michael Pratt: On -- I guess on film and TV, so rental revenue this year was about 40% lower than the prior year. So -- and the prior was broadly normal, it would have got affected a little bit towards the end, because people were anticipating the strike. So things slowed down a little bit. And the consequence of which at film and TV business this year made a loss. And so next year, we'd expect to be profitable.
Lush Mahendrarajah: Thank you very much.
Q - Suhasini Varanasi: Good morning. Suhasini from Goldman Sachs. Just two, please. One a follow-up to your U.S growth guidance of 4% to 7%. Maybe it's one for Michael. Just to clarify, can you give some color on what the impact of that contract was on that 4% to 7% number? The one that you took the provision on? And how much of hurricane revenues have you actually baked in there? That's number one. The second question is probably on time utilization. Appreciate it was lower in FY '24. But what do you have in your guidance for FY '25? Do you have it going back to pre-COVID levels, normal levels. Appreciate it won't be the all-time highs, but just to get some context there. Thank you.
Michael Pratt: So on the revenue guidance in terms of -- well, I'd say it's a combination of where we are with activity levels at the moment, and also the specific impact of that. And so to extend that again, so just if you would tell me, it's probably split pretty evenly between the two. In terms of current [indiscernible]. If you look at -- go back to slide -- Brendan's slides, 17, 18 -- 17, then if you take general tool, it is growth year quarter-over-quarter was slower in Q4 than it was in Q3. So we've factored that into growth rates as you go forward, and then overlaid a piece from that specific contract. I'm not going to get quote numbers on it, is the honest answer. So I'm not going to give you specifics on that contract. And that's the direction of travel.
Suhasini Varanasi: On the hurricane?
Michael Pratt: Hurricane, we got the question yesterday actually, you say it is forecast to be the strongest hurricane season or the most busy hurricane season ever. Well, that's after last year was forecast to be and probably was almost the busiest. It all depends. We're not assuming anything in from a -- that big event, that there's events in our data all the time. So the stuff happens on a day to day basis in the U.S whether it be localized flooding, whether it be tornadoes, whether it be you fires, et cetera, et cetera. That's just day to day trading is that large one off event, which we're not specifically factoring, I think.
Brendan Horgan: Just to be clear, last year was a remarkably active hurricane year in the ocean. It just didn't make landing where people reside, which we're happy for. So we're not doing hurricane dances on the shores along the coast of Florida. So time will tell. In terms of your utilization question, we're budgeting or anticipating sort of getting back to more normal sort of time utilization levels. However, we do think if you think about Sunbelt 4.0, the third actionable component of performance. We ought to be able to run at higher time utilization levels than we were pre 3.0. So, we will certainly set our sights on being able to do that, but in this year, it's kind of more norm. Yes.
Allen Wells: [Indiscernible] Allen Wells from Jefferies. I just wanted to come back to the question around kind of the end of the construction data and how that relates to you guys. So if you look at the Dodge data, your 9% for '24, 6% for '25 to blend that out over your fiscal year. You highlight the fact that more of that growth is driven by bigger projects. You'd expect the rental market to outgrow the construction market based on the penetration disruptions and the structural side. And you guys as a bigger rental player should be benefiting from the bigger project. So what are we missing there? What is -- what's the -- a temporary issue that's really just impacting this year, I was trying to understand how we dovetail the structural side versus that the growth guidance. So that's the first thing I'd expect you to outgrow those construction numbers, not underperform?
Brendan Horgan: Well [indiscernible]. I mean, that's so I like to describe it as if we go back to that same Slide again, 17, the 18, pardon me. There we go. There is a bit of cross currents that we're dealing with, which has nothing to overreact to, it's just one that we as -- as a business, and indeed, as an industry, get our minds around. And when you take into account, first of all, so these are forecasts in terms of put in place. We are seeing and we're realizing on a daily basis, that projects are taking a bit longer. So if we look at 2024, to some of the 2024 783, or 423, in the end find its way into 2025. It wouldn't surprise me today, whatsoever, as it relates to not only the labor peace, but also the way in which these projects are trying to manage the costs associated with them. So it used to be fast and furious, to get to the sort of prize of producing whatever they're going to be producing. Whether that be a vehicle it'd be a battery, it would be a natural gas, it'd be a chip. And balancing out what's the right amount of resource to put into it that is rather sort of sustainable through the course of the project. But the second one, again, is flow through. If you look at a $12 billion semiconductor fab, what will that be? Will 1% of that flow through to rental will one in a quarter will maybe it's 1.5, we thought it would be .75, it's gotten a bit higher than that. But if we were to develop a four story office building, it's 5. So there is a bit of that there that's very difficult to get to at the sort of most sort of granular level. So I think we just have to go through that. And that's just one of the things that we're working through.
Allen Wells: And then maybe just following on when we think about the other over half of your business that's not construction, its MRI. How do we think -- how you seeing the broader MRO market versus those sorts of numbers in terms of growth, when you think about that is it accretive to growth or slightly dilutive to growth as we said.
Brendan Horgan: What was U.S GDP in Q1. Anybody know? 1.5, something like that. And look at specialty growth. So I mean, that will continue to be the case. We will outstrip sort of the overall inherent sort of level of growth in the U.S. And we're seeing their share gains, but we're seeing most importantly, rental penetration and the cross sell -- selling power of what we have. But bringing to life, that non-construction slide that we covered. This is also not a race, this is one that takes time. It takes investment, it takes that cross selling, and it takes that sort of as we continue to perpetuate, if you will, the more and more use of more and more products across that MRO base.
Allen Wells: And then just finally, just to clarify, when we look at exit, right, I think it talks about 5.5% exit rate in May.
Michael Pratt: 6.5%
Allen Wells: 6.5% [indiscernible] rental, 5.5% total rental.
Michael Pratt: [Indiscernible] to the Q4 number of nine. 1% I guess it's impactive. Number that’s around 1% impacting from the provisioning issue project. Weather impacts, timing, anything or she just pick up in terms of [indiscernible] might was driving that.
Brendan Horgan: I think we are -- I think, look, it's just a -- it’s a level of growth that we feel like is we're seeing in the business today and we feel like we'll see throughout the year.
Adrian Kearsey: Thank you. Good morning, Adrian Kearsey, Panmure. Few questions. Looking at Q4 U.S headcount and Q4 U.S store openings have come down a little bit sequentially, and the store openings going through below trend. To what extent was the headcount impacted or not at all by your scaffolding project? And to what extent should we look at that Q4 store openings going forward? Thinking actually your CapEx, your growth CapEx is going to be more about applying investment into the existing estate and less so about store openings.
Brendan Horgan: I think you just picked up on something that is when it comes to pace of openings, nothing to do with anything other than circumstance around properties, leases, et cetera. We very clearly put our intentions out there when it comes to Greenfield expansion through 4.0. So it's just a timing thing. You'll see a reasonable return to robust Greenfields as we progress through Q4. Q1 rather and even a bolt on or two that will do. When it comes to headcount, again, think about the explosive growth that we experienced, both in our existing locations and adding two and three quarter locations a week, it requires lots of people. When we look at the pace, obviously, you can -- we don't report same store versus all stores. But you can imagine, with the activity levels, when you take into account rate as well, you're growing less so therefore, what do you do in a business like ours, you add fewer people. Furthermore, we're working on again, I'll go back to that actionable component number three performance, where we're leveraging better the cluster environment that we have, which means the resources within those markets, so it's more, it's more than just about the TAM's, that we advance through our cluster strategy. It's also about the efficiencies that we unlock, and part of the technology that you would have seen that we've put in place, part of the overall organization is I'll give you the most basic example. Having a equipment rental specialists, which is a counter person in one of our locations, who are trained in terms of product and application, understand all the vast products that we carry, to provide solutions for our customers. Based on staffing requirements, we might move them Monday, Tuesday, Wednesday to one branch and Thursday, Friday to another branch. And that's those are the sort of things that as simple as that may sound, they weren't so abundantly available to us like they are today. So that's what we're working through.
Adrian Kearsey: Follow-up on those of your comments on clusters. And look at in terms of market share, because some of the established depots have got considerably higher market shares. Over the last quarter or last couple of quarters, have you started seeing any friction in terms of as the upper movement in market share? Are they still punching through these sort of national averages?
Brendan Horgan: Yes, I mean, it's very difficult to gauge market share in a quarter or a couple of quarters. It's probably something worth looking at on an annual basis outside of the way that the team will look at an individual OS or OS outside sales representatives' territory. I guess there's nothing to be seen there. Well, in even in our most mature markets, measured by way of density that we would have shared during CMD or by store count how we measure our clusters, we've yet to reach a ceiling. So even our most matured markets as it relates to our market share in those markets, has continued to climb. It continued to climb throughout 3.0. We have every expectation that we'll continue to climb through 4.0.
Adrian Kearsey: Thank you.
Brendan Horgan: Any others? Great. Well thank you for your time this morning and we look forward to seeing you Q1.